Operator: Ladies and gentlemen, thank you for standing by. Welcome to Teck's Fourth Quarter 2010 Results Conference Call. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session. This conference call is being recorded on Wednesday, February 9, 2011. I would now like to turn the Conference Call over to Greg Waller, Vice President Investor Relations and Strategic Analysis. Please go ahead.
Greg Waller: Good morning. Thanks, operator and thanks for joining us, everybody. The forward-looking information slides are on page three and page four. We need to draw your attention to those. This presentation contains forward-looking information regarding our business, various risks and uncertainties may cause actual results to vary. Teck does not assume the obligation to update any forward-looking statement. And at this point, I'd like to turn the call over to Don Lindsay.
Don Lindsay: Thanks very much, Greg. Good morning all and thanks very much for joining us. I will start with a review of the results for the quarter and then turn the presentation over to Ron Millos, our Senior Vice President of Finance and CFO to address a more in-depth financial topics and I should say a number of the other members of the Management team are on the call this and available to answer your questions. Turning to slide five, we are very pleased with the results for the year. We set a new record for company revenues this year at over 9.3 billion. Operating profit after depreciation and amortization was almost 3.6 billion which was up 30% over 2009 compared to the revenues being up 22%. Net earnings were 1.9 billion and EBITDA was almost 4.3 billion. Slide six shows our adjusted earnings for the year and a comparison to last year. Due to the number of unusual items, we had both this year and last year adjusted earnings which removed the effects of the unusual items gives a much better picture of our fundamental earnings power. Adjusted earnings of 1.5 billion or 2.61 per share on a fully diluted basis are 24 percent from higher than the per share figure last year and adjusted EBITDA was 4 billion for the year. Turning to slide seven, there are a number of highlights in the quarter. The quarter was also a record for revenues at over 2.8 billion. Operating profit after depreciation and amortization was 1.2 billion which was up over 16% over the third quarter of this year and up 55% year-over-year. Earnings were 361 million but were impacted by a 289 million after-tax charge related to the repurchase of a portion of our debt so with adjustments, earnings were 548 million. And EBITDA for the quarter was about a billion and adjusted EBITDA was 1.2 billion. Slide eight, continuing with the highlights for the quarter. Our business fundamentals are very strong with higher copper production going forward since we have achieved commercial production at Andacollo as well we have strong pricing in both copper and coal. During this quarter, we continue to repurchase our long-term debt and we also increased the semi-annual dividend by 50% bringing total annual dividend in 2010 to $0.50 per share and on an annualized rate going forward to $0.60 a share. And in December, Suncor announced an updated development schedule for Fort Hills Oil Sands project which we were very pleased about. We show our view of comparative earnings for the quarter on slide nine. We again hit a number of unusual items in the quarter to adjust for. We had some modest exchange in derivative losses and minor gains from asset sales. Most significant item, however is the already mentioned charge related to the debt repurchased which was 289 million on an after-tax basis. And adjusting for these items, earnings were 548 for the quarter or $.93 per share. You should note that we had an unusually high stock-based compensation expense this quarter due to the move in the share price and that impacted earnings by $.08 a share. And as a result, if we adjust for this, adjusted earnings would be a $1.01 per share, much closer to the consensus estimates for the quarter. Slide 10, we are showing a comparison of our operating profit for the quarter and the year compared to previous periods. Our coal business is contributing about 50% of our operating profit at this stage. Higher prices and sales are the main driver behind a 10% quarter-over-quarter increase in coal's contribution to operating profit. Over the 12-month period, copper has increased by 2% to make up approximately 33% of annual operating profit. And we expect that to grow as our copper production is expected to increase by about 10% this year. Turning to slide 11, we have summarized the guidance we gave last quarter and the performance relative to that guidance. Our guidance was largely met this quarter except for coal costs. Coal costs were elevated by extreme cold weather in November, higher moisture coal from Greenhills due to the dryer being down for repair arising from an explosion in Q3 became difficult to handle on those cold temperatures that resulted in reduce efficiency in movement of clean coal inventories from the mines to the ports. And this issue is behind us now, there was a rebuilt to Greenhills dryer has been commissioned and were just restarted last Friday. Fourth quarter transportation costs increased slightly on a year-over-year basis reflecting higher freight costs due to a greater proportion of our sales being made inclusive of ocean freight. And during the quarter, we also began moving products through Ridley Terminals which contributed to higher transportation costs due to the greater distance of our mines compared with the Vancouver ports that does give us extra flexibility. Turning to our operating results for the quarter, in our coal business on slide 12, production sales were up almost 11% on a year-over-year basis. Our production sales booked were approximately 6 million tons. We currently expect to sell between 5 million and 5.5 million tons in the first quarter of 2011 with some uncertainty currently due to the work stop at our Elkview operations. The shiploader Westshore was put back into service in late January resulting in reduced loading capacity just shy of the two weeks that had been indicated. We are still struggling with rail capacity somewhat though due to adverse weather still but we're very pleased with the service that CP has given us. The average realized price for the fourth quarter 2010 was $200 per ton relative to benchmark prices of 209 per ton for the premium brand of coal for the quarter. Fourth quarter 2010 unit site costs were $54 per ton and unit transportation costs of $35 per ton gave us combined cost of just under $90 per ton Canadian. In our copper business unit on slide 13, overall production was up 7.5% versus Q4 last year mainly due to the new copper cost trader at Carmen de Andacollo, which commenced commercial production at October 1st and contributed 14,100 tons of new copper production in the fourth quarter. The increase in production was slightly offset by lower production from Highland Valley Copper as a result of lower ore grades. Sales volume was up over 5% reflecting the higher production. In our zinc business, zinc concentrate production for the quarter was approximately 19% lower than last year as both Red Dog and Antamina produced at lower rates. In Red Dog, production was down by 14% due to planned maintenance activities in the quarter and also slightly lower ore grades. Antamina zinc production was down 50% due principally to lower zinc ore grades, reduction of copper zinc ores processed in the quarter and this is no surprise. We know all about this from the mine spend for some time. As in previous quarters, I should note that even though we show Antamina shares in production in these figures, the financial results for Antamina are reported in our copper business. At Trail, production of refined zinc was 6% higher than last year. A 32-day KIVCET maintenance shutdown during the fourth quarter resulted in lead production being lower this quarter. The shutdown was completed on time and on budget. Overall, our zinc business contributed 204 million in cash operating profit this quarter, up almost 5% year-over-year and key drivers behind the increase is the higher zinc leads and silver price. In our energy business, most advanced project in our portfolio is Fort Hills. Suncor is the managing partner with 41% and Total will now have 39% assuming their joint venture announced in December closes as expected. Suncor have announced that they intend to proceed with the Fort Hills project and we expect that we can see a sanction decision for Fort Hills in 2012 in order to meet the plant's first production in 2015. Project is planned as the mine-only producing of bitumen product and at a rate of 164,000 barrels per day in the first space. To Teck, this would be about 11 billion barrels per year. Project is being designed for past and future expansion to 320,000 barrels per day. Suncor are currently going through a re-evaluation of costs, so final cap of costs are not yet defined. But they have indicated that they expect it to be in the range of about $60,000 per full barrel. I'd now like to turn the call over to Ron Millos to address some of the financial issues.
Ron Millos: Thanks Don. And I'm on slide 17, where we've summarized our changes in cash for the quarter. Our cash flow from operations was $900 million in the quarter, which is up almost 34% from the third quarter. Our working capital change was positive this quarter due to changes in the various working capital items. During the fourth quarter, we sold a portion of our coal receivables which reduced our working capital by approximately a 150 million at the end of the year. Capital expenditures and investments were 309 million for the quarter and that included 86 million on sustaining projects and 214 on our major development projects. We reduced our debt by 1.2 billion in the quarter as part of our overall liability management program bringing our total debt reduction for the year to 3.1 billion and that will save us about $225 million per year in interest cost. And after allowing for payments to our partners and the effect of the exchange rate changes on our cash, our net change in cash in the quarter was a decrease of 345 million and we ended the quarter with $832 million in cash. Slide 18 shows our final pricing revenues for the fourth quarter. As we highlight each quarter, pricing adjustments on sales of our various products can have a significant impact on revenues. Outstanding provisionally priced receivables at the end of any quarter are final price based on contractual quotational periods for subsequent periods resulting in positive or negative price adjustments depending on the movements in that commodity prices. Final pricing adjustments for this quarter were positive. On settlements within the quarter, the largest impact was in copper, where we had 81 million pounds of receivable settled in the quarter at $0.25 per pound higher than the price of which they were provisionally booked in Q3. We also incurred positive adjustments in zinc and lead for total positive adjustments to operating profit of 37 million on sales from the previous quarter. We also recorded pricing adjustments on sales booked during the quarter as these are mark-to-market at quarter end. As metal prices improved during the quarter, this increased revenue by a further 50 million on a pre-tax basis. And as always remember when analyzing the impact of price changes on our pricing revenues, refining and treatment charges and the Canadian U.S. exchange rate must be included in your earnings and in addition, when trying to analyze the impact on that earnings you need to consider taxes and royalties. On slide 19, we summarized our production guidance for the year. Coal production is in the range of 24.5 million to 25.5 million tons which would be approximately 6% to 10% higher than the rate we produced that in 2010. Copper production is expected to be 10% higher than last year primarily due to increased production at Carmen de Andacollo. Zinc production is expected to be 620,000 tons of zinc and concentrate which includes Red Dog and our share of production from Antamina. Zinc and concentrate production will be down at Antamina due mainly to more copper-only ores and less copper zinc ores being mined in process. And refined zinc production, the Trail is expected to be 285,000 tons. Turning to slide 21 or slide 20, I'd like to highlight the guidance we have given for the first quarter of 2011. Again you should be aware of the seasonality in zinc sales due to the shipping season at Red Dog and the impact on unit cost due to varying lead sales. We expect coal sales to be in the range of 5 million to 5.5 million tons in the first quarter of 2011. And our average realized pricing in the quarter to be between $206 and U.S. $211 per ton. And this includes the impact of all types of coals sold, expected carryover and expected spot sales. And as you're aware we do not – we do have a strike at our Elkview mine which we don't expect at the guidance for the first quarter due to inventory levels, but depending on the duration of the strike, that could impact our annual guidance for 2011. Our coal costs for the year are expected to be in the range of $59 to $63 per ton for site cost and Canadian $30 to $34 per ton for transportation cost. As mentioned this earlier, the settlement adjustments are dependent on the direction of prices and need to factor in the effects of treatment and refining charges, the exchange rate, taxes and royalties. So, those are some of the key items to consider as you develop your earnings estimates for the first quarter. Turning to slide 22, I would like to highlight the guidance we've given for our sensitivity to changes in prices and exchange rates for the year. Our adjusted EBITDA not including all the unusual items in 2010 was $4 billion. The slide shows our EBITDA sensitivity to our key products. And for example in coal, our EBITDA sensitivity is 25 million Canadian for each $1 per ton change in the coal price. In copper and zinc, our sensitivity is 7 million and 10 million respectively for each $0.01 per pound change in the metal price and our sensitivity to changes in the exchange rate is about $80 million for each $0.01 change in the Canadian dollar versus the U.S. dollar. In addition to these price sensitivities, you need to take into account volume and cost changes relative to our production levels in 2010 if you're trying to estimate EBITDA for 2011. And with that I will – I turn the call back to Don Lindsay.
Don Lindsay: Thank you, Ron. And before we close, I would like to update you on the status of the many development projects that we have underway. At Quebrada Blanca, full feasibility study commenced in early 2011 and is expected to be completed by the end of the first quarter in 2012. Positive feasibility study could potentially result in a decision to undertake project development with production in early 2016. At Relincho, the pre-feas is underway and it is expected to be completed in the first quarter of 2012. Continuing in copper, the Galore Creek pre-feasibility is expected in Q2 2011. And in our energy division, we're working on a pre-feasibility study for the Frontier Oil Sands project with the possibility of Equinox as a satellite mine as well. And this study is expected to be completed in Q4 of 2011, which will also to be marked by the filing of a regulatory application. And in coal, the feasibility study for the restart of the Quintette coal mine is proceeding and it's expected to be complete in mid 2011. Assuming the results of this study are positive and development proceeds, the mine could be in production by 2013 at an annual rate of approximately 3 million tons per year. So, we have lots of exciting growth opportunities coming and I look forward to reporting on the development of these – on the status of these projects in the quarters ahead. In summary, before I turn it over to questions, we have a solid balance sheet. We're now focused on the strong and increasing cash flow from our business. Our coal business is very exciting with robust fundamentals and market prices and increasing production for a moderate amount of capital. Our copper production is expected to grow to over 400,000 tons annualized by 2012. And we are moving forward with several development projects to enhance shareholder value even further. And with that, I would like to turn it over to questions. Do we have any questions?
Operator: Thank you. We'll now take questions from the telephone lines. (Operator Instructions). The first question is from Harry Mateer of Barclays Capital. Please go ahead.
Harry Mateer – Barclays Capital: Hi guys. I was just wondering if you can talk about your priorities in cash flow now and specifically when you look at the high coupon debt remains outstanding, is that still something you're interested in reducing over time or have your priority shifted elsewhere?
Don Lindsay: We had a pretty good program in the second half of 2010 which we're pleased with the results of – it's a kind of thing that we'll monitor throughout the year. At the moment, we have no plans to do anything further. But we'll watch market conditions and make decisions based on what are the uses of capital we have now.
Harry Mateer – Barclays Capital: Okay. Thanks very much.
Operator: Thank you. The next question is from Sal Tharani of Goldman Sachs. Please go ahead.
Sal Tharani – Goldman Sachs: Thank you. Can you just give us some color on the Andacollo concentrator cost how to model that? I think it was 60 million in the fourth quarter.
Roger Higgins: This is Roger Higgins. Thanks for the question. Andacollo was in ramp up mode throughout 2010. We achieved 90% of growth because in our press release in September, we declared initial production at that time and since that time, Andacollo's partners contributed positively to become most yielded. We are still working our way through as the whole new plant, the process of optimizing and the greatest focus we've had at that time just to get the production first, make sure we are able to get throughput through the plant and in recoveries metallurgical prices is correct and then sort of focus on optimizing the cost after that. Just getting the first price of that doing some work to ensure that we can get the tonnage up but largely to design storage. As we achieve that, we'll hope some benefits in costs in two different directions basically the more consistent production and more pounds. We'll reduce the unit cost simply by adding more pounds just get the cost over and then we will be able to focus principally on maintenance costs earnings and bring the cost into long moving asset. Taking on to put real numbers on, it's the process we need to get through in the – particularly in the first half of the coming year. But we see it as a mid range in terms of the fuel on cost of the (inaudible) producer going forward.
Sal Tharani – Goldman Sachs: Thank you. I also wanted to ask about the impending second labor contract coming up on in April for Fording. Has there been any discussion with the labor union on that?
Bob Bell: It's – Sal, Bob Bell here. It's a bit early for us to get in those discussions right now we're focused on the situation of the Elkview.
Sal Tharani – Goldman Sachs: Okay. Thank you very much. I'll get back in the queue.
Operator: Thank you. The next question is from Duncan McKeen of Macquarie. Please go ahead.
Duncan McKeen – Macquarie: Yeah. Thanks very much guys. I just want to ask regarding new realized prices for Q1 of this year. Can you just explain how your realized prices are coming in so far below the benchmark, which is it 225 for the contract price? Thanks.
Don Lindsay: Duncan, let say, what goes into the average pricing is a whole mix of pricing. If you actually look back at guidance from last year, in Q3, we had benchmark price at 225 same as what we had in the first quarter and yet guidance was 195 to 200. So, what we're – the guidance we're giving for this quarter 2006 to 2011 is actually quite a bit tighter than what it was in Q3. But it's a mix of all the products we're selling and mix of the spot pricing and contract pricing.
Duncan McKeen – Macquarie: Is there – what percentage of your coal overall is the premium coal?
Don Lindsay: Generally, it's about 85% to 90%, would be what you call hard coking coal. But even within that hard coke coal range, there is a spectrum of qualities that gives you a pricing band.
Duncan McKeen – Macquarie: Okay. So, it's probably the reason for you realize – is your lower realized pricing is there some lower prices coming through from the Vancouver from Greenhills?
Don Lindsay: That wouldn't have had a huge impact and as I say the gap between the benchmark and our realized price in Q1 is actually tighter than what it had been when we have the same pricing in Q3 of 2010. So, it's – I wouldn't say that there is an anomaly there. It's important to remember that in Q4 of 2010, we had less sales from the Coal Mountain operation because of the late disruption there. So, you would have seen a tighter band in Q4 than you would normally have.
Duncan McKeen – Macquarie: Okay. Thank you.
Operator: Thank you. The next question is from Terry Ortslan of TSO & Associates. Please go ahead.
Terry Ortslan – TSO & Associates: Good morning. I have a lot of things on the plate for feasibility studies for 2011 going into 2012. I guess Ron and Don combined just I'm asking for just – are you going to be – how much – each one of you are going to be able to do internally, each one is going to top the outside market and how much do you want to leave at the balance sheet in the process going into next few years on this capital expenditures?
Don Lindsay: I think, it's important to look at the timetable. A lot of these are pre-feasibility studies, so you don't have to go to full feasibility before you get to construction decision and then you having made the construction decision large CapEx doesn't occur for sometime after that. So, they are kind of spread out and in the mean time we have quite high prices and very strong cash flow. So, a lot of cash should build up between now and when CapEx would start to occur. So, at the moment when we do our models, we could do it all internally. We don't know what the prices will hold at these levels of course, but I think we just have to take it quarter-by-quarter and see. In some cases where we have partners, it may make sense to engage in project financing, because they have an interest in that. So, we will look at those opportunities as time progresses. But right now, we don't think it will have that much effect on the balance sheet.
Terry Ortslan – TSO & Associates: Thanks. The other question is on the labor contracts. Can you remind me what else is coming up this year?
Don Lindsay: We have – as we just mentioned Fording River in April and then Highland Valley, Roger what month is Highland Valley?
Roger Higgins: I believe the September, Don.
Don Lindsay: All right.
Terry Ortslan – TSO & Associates: Okay. And Don just to be on this one here, can you talk about the not the month of demand side, but more like on the balances on the supply side in China also on the cost rates level. What shifts do you see this year 2011 on the lead and zinc imports and also the production profiles in China?
Don Lindsay: And well, of course it's always hard to know, but we have seen the growth rate of mined zinc production in China come down quite a bit. They were still growing at a small-to-moderate rate. Their consumption of course has been very strong and so the country has still been in an import situation, but it's very hard to make forecast on these things.
Terry Ortslan – TSO & Associates: Enough. Thank you.
Operator: Thank you. The next question is from David Radclyffe of BMO. Please go ahead.
David Radclyffe – BMO: Hi, everyone. So, having looking at the presentation here, it looks like that the QB and Relincho studies have actually been pushed back a couple of quarters from the targets we discussed at the Investor Day and just in regards to this, I was just wondering could this potentially impact from a startup of those projects. I'm just trying to work out what maybe the scope of the delay, is it Relincho? I know you were looking a potential upgrade in the resources, so the scope of that projects maybe changed at all. And then because now Galore Creek pre-feasibility study will be ahead of Relincho, does that mean Galore Creek naturally moves up in your mind in terms of when it could be delivered?
Don Lindsay: I'll answer the last question first and then to Roger or Tim on the first two. The answer is no. Galore Creek will not be put ahead of Relincho. And it is one of these things were related to the results of the studies before making any final decisions, but from Teck's point of view, Relincho is the high priority project.
Tim Watson: With respect to QB on the timing of that particular project, the completion of the feasibility study is we're showing now and basically the same timeline is that we expect to be submitting the EIA to the government for final permit approval. And then the goal from that point is then to carry on with the basic engineering as we're progressing through the EIA process. With respect to Relincho, the overall scope of the project has not changed. We are as we're going through the feasibility study finalizing some of the options with respect to throughput and some of our processing options. So in terms of the scope of that particular project, it's roughly the same as QB quite a large concentrator. We are focusing on the seawater processing evaluating our port options as well as the power options for the project.
David Radclyffe – BMO: Okay. So, even if the studies are taking six to nine months longer, you still think you could meet that sort of 2017 target?
Tim Watson: That's correct. Yes.
David Radclyffe – BMO: Okay. Thank you.
Operator: Thank you. The next question is from Greg Barnes of TD Securities. Please go ahead.
Greg Barnes – TD Securities: The question focused on the copper operations. Cash cost at QB were pretty high in the first – fourth quarter and just wondering how you expect that to trend going forward?
Roger Higgins: Yeah. Thanks Greg. There are two main drivers of that cost, one of them is somewhat larger tons as stripping ratio has gone up a little bit. We moved more tons at QB in 2010 than we've got to move before. So that is – that's permanent and we will be facing that in the future. But the other one more important perhaps is that what will be the costs – the cost increase that you're noticing really could be accounted and pulled by increased energy cost whether it's off leasing the good in Northern Chile or for fuel oil for our entire station and that's not a controllable particularly. So that we'll depend on how those costs progress, that's not so. And we're now working hard at it and we do have some more bigger equipment came in during the course of the year, which will help us with our unit costs, but those are the two principal drivers of QB.
Greg Barnes – TD Securities: Do you think costs there on the per pound basis being in the $1.40, $1.50 range going forward?
Roger Higgins: I hope not that we can bring them down under that Greg.
Greg Barnes – TD Securities: What do you think is the appropriate number?
Roger Higgins: Somewhere below that.
Greg Barnes – TD Securities: Okay. Just another question on another topic, the coal production ramp-up in the Elk Valley, just wondering how you see that progress, I know you said second half waited this year but how you see that progress over 2012 and 2013?
Bob Bell: Don, did you want to – did you want me to answer or would you like to...
Don Lindsay: Yeah. The only comment I would make is we do have to get the plant upgrades finished and that obviously makes the big difference to what capacity we can put through but Bob you go ahead for that.
Bob Bell: Yeah. The rest of the develop that ramp-up, we've given a sort of a trajectory in the past heading towards the 30 million ton range and then adding the Quintette above that. So, we're still focused on delivering that and it's about plant upgrades and it's equipment and we're on that path.
Greg Barnes – TD Securities: Bob, do you mean 30 million tons out of Elk Valley or 30 million...
Bob Bell: No, no that's – it's a – no, we've given that as a total – that's the target for the total existing mining operations and we're still aiming towards that.
Greg Barnes – TD Securities: The 30 million tons doesn't include Quintette?
Bob Bell: That's right. And I'm sorry, it was – we gave 29 million tons without Quintette.
Greg Barnes – TD Securities: Okay. So, by the end of 2013 do you think you'll be at – at exit rate you'll be at around 28 million, 29 million tons by then?
Roger Higgins: It's a bit early to get precise. We go year-by-year when we put our plans together and we've given where we're going to go in 2011. And we'll go through the same process as we get to every year. So, it's a – I wouldn't want to speculate on exactly when we hit the certain target.
Greg Barnes – TD Securities: Okay. Thank you.
Operator: Thank you. The next question is from Alec Kodatsky of CIBC. Please go ahead.
Alec Kodatsky – CIBC: Thanks and good morning. Actually, I have two questions here, first just in terms of the CapEx, I mean particular sustaining CapEx. It looks like there is a pretty meaningful increase at the coal operations year-over-year. I'm just curious whether there has been any sort of scope changes as far as the expansion plans are potential for cost over runs and – pardon me. And secondly, you also mentioned in the release on-site mine inventories for coal are high, port inventories are low and just wondering if you could potentially give us some clarity as what those numbers are? Thanks.
Don Lindsay: On the first question, it's not as big as increases that might look because the significant amount of the sustaining CapEx from last year wasn't spent and it's rolled forward into this year. Ron Millos, I'm not sure if you have the number available if you could get someone to look it up and get back to the question early, turn this over to you.
Ron Millos: Yeah. It's – for next year it's about 275 million. I don't have the split handy on how much was carried forward, but we'll get that and have Greg distribute it.
Alec Kodatsky – CIBC: Okay. Thanks. And it's a...
Greg Waller: And the question was on the mine-site coal inventories?
Alec Kodatsky – CIBC: Yeah. Thanks Greg.
Bob Bell: We don't disclose our exact mine site inventories. They are quite high from a historic basis. And that's one of the reasons why we haven't altered our guidance for the sales in this current quarter. But we're obviously working very closely with our rail service provider to find ways to move as much of that to the coast as possible and as quickly as possible to take advantage of current market.
Alec Kodatsky – CIBC: Okay. Well, thanks very much.
Operator: Thank you. The next question is from John Hughes of Desjardins Securities. Please go ahead.
John Hughes – Desjardins Securities: Thank you operator and just a couple of quick ones. On Elkview, are they in negotiations with the union ongoing today? Hello?
Don Lindsay: Yeah. The status of the Elkview discussion is we have various range of contacts with them on different schedules. And we really don't want to comment or negotiate in the public domain about our discussions there. We remain optimistic that we will be able to settle and we feel we've made a very strong offer to the union.
John Hughes – Desjardins Securities: Yes. Sort of, highlight for that operation what your budgeted production number was for 2011?
Ron Millos: John, it's about 20% of our overall coal production.
John Hughes – Desjardins Securities: Okay. And we can apply that 20, Greg, to the range of 24.5 to 25.5?
Greg Waller: Yes.
John Hughes – Desjardins Securities: Okay. On Red Dog, just a quick one the – I know you are operating today with the renewed water discharge permit, and I'm just wondering how concerned we should be with the possibility that existing permit can be (inaudible)?
Doug Horswill: John I think – yeah, it's Doug Horswill here. There is no chance of that. We're operating to the 1998 permit but also to a court ordered level that we have used since 1998. We are working with the EPA in the state and those processes we're going through. We can't predict. We've tried in the past, but it's just hopeless to try and predict exactly when all of that will get sorted out. But in the mean time, we feel very secure and confident in our continued operation and there are no problems.
John Hughes – Desjardins Securities: I guess, in the absence of any sort of renewed, sort of problem like an appeal any further appeal then everything is from an operating perspective. What you're doing today you'll continue through the course of the year?
Doug Horswill: Yes. And whether or not there is appeal, I mean they just – that's a matter of course of business in the U.S. These things are appealed. We just anticipated and just where we have the support of EPA in the state in respect to our current operations and we will continue to do that.
John Hughes – Desjardins Securities: Great. Thank you, Doug.
Doug Horswill: Continue to operate.
John Hughes – Desjardins Securities: Yeah. That's great. Thank you very much indeed.
Doug Horswill: Okay.
Operator: Thank you. The next question is from Oscar Cabrera of Bank of America. Please go ahead.
Oscar Cabrera – Bank of America: Hi, good morning gentlemen. Let's start with your reported first quarter 2011 coal price; the press release is $206 to $211 a ton, but the presentation has a lower range 200 to 205, so...
Don Lindsay: Yeah, Oscar it's a mistake in our slides. The numbers that we have given in the release are the correct guidance.
Oscar Cabrera – Bank of America: Okay. And if so, then can you give us the – Bob Bell talked about the mix in the production, but can you give us the amount of thermal coal that would be included in that number?
Bob Bell: Oscar, we don't generally give such specific guidance, but generally our thermal coal or you’d say thermal coal and lower grade steel-making coals would be sort of in the 10% range, but it depends on what's happening in that particular quarter.
Oscar Cabrera – Bank of America: Okay. Thanks a lot, Bob. And then second question with regards to Elkview, I know that it's a sensitive issue and you want to comment in the public domain, but in – could you give us color on how your expansion plans would change, i.e., are you at a stage right now where the stripping in the mines is complete. Therefore our factory strike can impact that profile as much, can you comment on that?
Don Lindsay: No, we could not comment on that kind of detail; it wouldn't be appropriate.
Oscar Cabrera – Bank of America: Okay. And then lastly on your copper development projects, as you're progressing about the feasibilities and pre-feasibilities, any chance you can give us an idea of the CapEx on a per ton basis, be it on a concentrate – cost per ton of concentrator per ton of contained copper? Thanks.
Don Lindsay: I think it's very good question, but we'll have to wait till the feasibility is finalized before we release numbers like that, because it would just be an estimate at this stage. So, I think it's important to get the final report.
Oscar Cabrera – Bank of America: Okay. Thank you.
Operator: Thank you. The next question is from Sal Tharani of Goldman Sachs. Please go ahead.
Sal Tharani – Goldman Sachs: Thank you. Don, have you looked into further expansion in the coal sites outside the organic growth particularly on the thermal coal sites through acquisitions. Is that something I mean you are already in the Oil Sands energy, would that be of an interest to the company?
Don Lindsay: Sorry, then the question is on thermal coal?
Sal Tharani – Goldman Sachs: Yeah, thermal coal.
Don Lindsay: Well, we watch the industry and look at the opportunities that are out there from time to time, but we haven't seen anything that would make sense for us at this stage. We like the steel-making coal business a lot and we have made a big investment that we want to optimize that investment and maximize the value of it. So, our attention is really focused on that.
Sal Tharani – Goldman Sachs: Okay. And the next question is on the copper market, any comments you're seeing any – there is a reload there that there is too much copper being offered by different participants and have you seen any resistance in purchases of copper at this price level?
Andrew Stonkus: Sal it's Andrew Stonkus. If I can comment on the copper markets, I think you have to again differentiate while you're talking copper concentrates or copper metal and the concentrates are markets still a structural deficit situation and we don't see that changing in the near-term. On the copper metals side, I think the statistics, I'll point out to deficit on metal as well. What we are seeing is more of a scrap in the marketplace and that's having a potential impact on near-term demand for (inaudible) but ultimately it's a deficit market for concentrates and metal for this coming year.
Sal Tharani – Goldman Sachs: Thank you very much.
Operator: Thank you. The next question is from Peter Epstein of PWP Xerion. Please go ahead.
Peter Epstein – PWP Xerion: Hi. Thanks for taking my call. I was talking to step back and look at a big picture fundamental view of what's going on in the highest quality coking coal segment, given what's happening in Australia for example and even in other parts of the world the supply stock, can you talk about that a little bit?
Don Lindsay: In the sea borne metallurgical coal market, the number of sources of supply is fairly limited. So you can track what is likely to come on in the next two or three years fairly easily. Obviously, Australia is the largest source by far and the flood had a series impact. So, it takes out large amount of tonnage. No one knows exactly how much and they have made investments after 2008 to improve on the capability and their estimate and the ports have improved. So, it's hard to estimate just what the shortfall will be. But there certainly is a shortfall and the market is very tight. So we'll be trying to produce as much as we can. But as you'll see in all aspects of the mining industry, there are day-to-day operational challenges and we've had our own issues there ranging from avalanches to port issues. And I think you'll find throughout the industry whichever country that they will continue to be always kind of challenges. So, as I said in other forms, it's tough enough to just to keep the current operation running at full capacity with all the challenges we have let alone increase production on the Brownfield’s basis but alone and started new Greenfield’s operation. So, I think given all those challenges that supply will stay tight in this sea borne metallurgical coal market for some time.
Peter Epstein – PWP Xerion: And then a quick question on trying to – I'm not sure of how closely you follow China specifically as opposed to the overall Asia market, but it seems like they haven't really been active in the coal market on the coking coal side. Do you have a sense of if they're going to become more active and how soon?
Don Lindsay: Well, we actually would think that they have been active and that's judging by their import numbers, that the imports have gone up from a level in 2008 of just over 3 million tons to actually 45 million tons in 2010. And then there is 34 million tons in 2009. And there is – it doesn't seem to be any indication of that will change. The largest source of coking coal particularly hard coking coal in China is Jiangxi Province. And in 2009, they shut down 1000 mines there for safety reasons. And there is a consolidation phase for the industry. They are increasing production again but they haven't got back yet to the level they were at in 2008. In the mean time, the steel industry has grown by about almost a 100 million tons of the steel production and the associated coking coal that goes with that. So, we think, in fact, China as we would think of it is the most active participant and really what goes on in that market is really setting the price. And so we've paid very close attention with people in China whose full time job is to study what's going on there and while they live in Beijing, they travel there frequently and give us reports very frequently. And so we watch the cost of production that they have there and compare that to what it cost to buy Seymour and coal FOB Vancouver or FOB Australia. And the costs have been going up quite considerably in China, because the minds are getting deeper. The themes are narrower. Labor costs are getting higher and of course, most importantly, as the currency – the Chinese currency appreciates that of course means that their cost in U.S. dollars is going up relative to our cost in U.S. dollars FOB Vancouver. So, we think those three factors deeper mines, higher labor costs, sometimes labor cost going up at 16% or 17% per year, as you've seen also in some other industries, autos in particular and then increase in currency will continue to drive the cost of production in China up relative to FOB Vancouver. So that maybe a bit more detail than you're asking about, but that's the really important dynamic that I think people need to understand in the sea borne steel-making coal market.
Peter Epstein – PWP Xerion: No. That's the kind of detail, I was looking for actually. I appreciate that very much. With regard to China, I meant so far in 2011 it seemed that have been active in the coking coal front. Is that still something that you would disagree with?
Don Lindsay: Yes. I mean it's only five or six weeks in that, it would be hard to tell.
Peter Epstein – PWP Xerion: Okay. Thanks.
Operator: Thank you. The next question is from Duncan McKeen of Macquarie. Please go ahead.
Duncan McKeen – Macquarie: Yeah, my question has been answered. I'll let someone else jump in. Thank you.
Operator: Thank you. The next question is from Tony Rizzuto of Dahlman Rose. Please go ahead.
Tony Rizzuto – Dahlman Rose: Thanks very much. Hi gentlemen. I've got a question, couple of questions actually a follow on to a previous question, just wanted to know from a standpoint of copper what you might be building in from a standpoint of possible substitution loss in demand into your analysis. And then I wanted to ask a question just to gauge your thoughts on, if you're changing your views at all with regard to hedging and specifically with regard to copper?
Don Lindsay: Quickly on the second question, no change of views on hedging with respect to copper and Andrew over to you on the first question.
Andrew Stonkus: On the substitution side, Tony, it is a concern, I think we do put into our model but I don't have the exact percentage that we would factor into that. There are certain aspects of the substitution side, obviously on the plumbing side of the end users that's been ongoing for the last few years. But the basic requirements or the capability of copper conducting as a conductor, that doesn't change. So, we feel that there is some substitution threats, but overall it's – we feel some very strong growth market as such China and the developing world continues to electrify their infrastructure. So, the main use for copper is going to continue to grow.
Tony Rizzuto – Dahlman Rose: Thanks very much, guys. And just a quick follow-up, if I may, Don that was some great insight about the metallurgical coal industry in China. What is the current self-sufficiency ratio of China in metallurgical coal?
Don Lindsay: I'm not sure what you mean by self-sufficiency. But I think in total and Bob Bell or Greg may have these numbers, but in total China consumes I guess something like 450 million to maybe as much as 500 million counting all industries, tons of coking coal of all blends and qualities. And so if they are importing 45 million tons, I don't know if you could get that, but I think what's more important and actually this is a very important point. Coal is not coal is not coal and it's something we see as people compare coking coal to iron ore for example or other things that coking coal – steel-making coal is sold shipload by shipload to certain steel plants that have certain specifications and as part of the blend they've tested over the months and years before they fitted into their blend and the difference in value and use between high quality hard-coking coal and then semi-soft or PCIs or whole another product, these are all very different things. So, to calculate self sufficiency kind of ratio, you really should be looking at comparing apples-to-apples and say, okay they are – how they imported x number of tons of hard-coking coal versus they consume annually x number of tons. And those numbers are very difficult to get just the way China discloses their production.
Tony Rizzuto – Dahlman Rose: That's great stuff. Thanks a lot Don. I appreciate it.
Operator: Thank you. There are no further questions registered for the moment. Please go ahead.
Greg Waller: So, there is no further questions. Thanks everybody for joining us this morning and we look forward to talking to you next quarter. Thank you.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time. We thank you for your participation.